Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Matthews International First Quarter Financial Call. At this time, all participants are in a listen-only mode. Later we will conduct a question-and-answer session instructions will be given at that time. [Operator Instructions] And as a reminder, this call is being recorded. I would now like to turn the conference over to Steve Nicola, Chief Financial Officer. Please go ahead.
Steve Nicola: Thank you, Wendy. Good morning. I'm Steve Nicola, Chief Financial Officer of Matthews. Also on the call this morning is Joe Bartolacci, our company's President and CEO. Today's conference call has been scheduled for one hour, and will be available for replay later this morning. To access the replay, dial 1-320-365-3844 and enter the access code 350805. The replay will be available until 11:59 pm, February 13, 2015. We have posted on our Web site, which is www.matw.com, the first quarter earnings release and financial information we will discuss this morning. On the top of our homepage, under the, Investor tab, click on Investor News to access the earnings release. For the quarterly financial data, click on Financial Reports to access the information under the section, Matthews International Quarterly Reports. The documents are presented in a PDF file format. Before beginning the discussion, at the advice of legal counsel, I have been advised to read the following disclaimer as it pertains to forward-looking statements. Any forward-looking statements in connection with this discussion are being made pursuant to the safe harbor provisions of the Private Securities Litigation Reform Act of 1995. Such forward-looking statements involve known and unknown risks and uncertainties that may cause the company's actual results in future periods to be materially different from management's expectations. Although the company believes that the expectations reflected in such forward-looking statements are reasonable, no assurance can be given that such expectations will prove correct. Factors that could cause the company's results to differ from those discussed today are set forth in the company's Annual Report on Form 10-K and other periodic filings with the SEC. To begin the conference, I'll review the financial results for the quarter. Joe will then provide general comments on our operations. Following that, we will open the discussion for questions. For the quarter ended December 31, 2014, the company reported earnings of $0.45 per share compared to $0.29 per share a year ago. On a non-GAAP basis the company's adjusted earnings per share were $0.55 for the current quarter compared to $0.41 a year ago. The net amount of these non-GAAP adjustments was $0.10 per share for the fiscal 2015 first quarter and $0.12 for the same quarter a year ago. In our earnings release, we provided a reconciliation of earnings per share on a GAAP and non-GAAP basis. Beginning last quarter, we are including intangible amortization expenses and non-GAAP adjusted earnings per share. Due to the significant amount of additional intangible amortization resulting from the acquisition of Schawk, Inc. or SGK, we consider the inclusion of these amounts as a non-GAAP adjustment to be appropriate for comparability and analysis of the company's operating performance. The other non-GAAP adjustments included in our fiscal 2015 earnings were as follows: one acquisition related costs in July 2014; we closed on the acquisition of SGK. Integration related costs in connection with the acquisition totaled approximately $0.13 per share for the fiscal 2015 first quarter. Two, litigation settlement net of costs as we reported earlier during the quarter, our Memorialization segment reached a settlement in a legal dispute. The net gain from this settlement, net of incurred costs favorably impacted our earnings by $0.18 per share. Three, cost reduction initiatives. We continue to have ongoing strategic cost reduction programs in our businesses. The additional costs associated with these initiatives unfavorably impacted earnings by approximately $0.02 per share during the current quarter compared to $0.06 a year ago. And four, pension and post retirement expense. Consistent with last year, for our non-GAAP disclosure, we have adjusted pension and post retirement expense to reflect only the service cost components of this expense. Consolidated sales for the fiscal 2015 first quarter were $344 million compared to $230 million for the same quarter a year ago. The acquisition of SGK contributed $107 million to the company sales increase for the current quarter. In addition, our SGK brand solutions businesses excluding the incremental impact of the SGK acquisition and the industrial segment reported higher sales this quarter. Beginning this quarter, the company has realigned its operations into three reporting segments, SGK brand solutions, memorialization and industrial. The SGK brand solutions segment is comprised of the Graphics Imaging business including Schawk's and the Merchandising Solutions operations. The memorialization segment is comprised of the company Cemetery Products, Funeral Home Products and cremation operations. The industrial segment is comprised of the company's marketing and automation products and fulfillment systems. Consolidated operating profit for the quarter ended December 31, 2014 was $25.6 million compared to $14.7 million a year ago. Excluding from both periods, the impact of acquisition related costs, charges related to cost structure initiatives and litigation settlement and related costs. Consolidated operating profit increased approximately 40% from the fiscal 2014 first quarter. The increase resulted primarily from the SGK acquisition and the incremental operating profit impact from higher sales. Sales for the SGK brand solutions segment were $200.8 million for the current quarter compared to $91.1 million for the same period a year ago primarily resulting from incremental sales of $106.9 million from the acquisition of SGK. In addition, the segment reported sales growth in all of it's principle markets particularly Europe. Changes in foreign currency exchange rate had an unfavorable impact of $5.6 million on the segments current quarter sales compared to a year ago. Operating profit for the SGK brand solutions segment was $1.9 million for the current quarter compared to $1.3 million for the same period a year ago. Excluding charges related to the acquisition integration and cost structure initiatives, the segment reported operating profit of $9.5 million compared to $2.1 million last year. The year-over-year increase primarily relates to the SGK acquisition and sales growth. Operating profit for this segment also reflects intangible amortization expense of approximately $4 million for the current quarter compared to approximately $400,000 for the same quarter last year. The significant increase resulted from the incremental amortization from the SGK acquisition. Memorialization segment sales for the fiscal 2015 first quarter were $116.2 million compared to $117.4 million for the same quarter a year ago. The segment reported higher sales of bronze and granite memorials and caskets during the current quarter. In addition sales of cremation equipment in North America increased during the quarter. These increases were offset by declines in mausoleum sales and European cremation equipment sales. Operating profits for the Memorialization segment for the fiscal 2015 first quarter was $21.5 million compared to $12.2 million for the same quarter a year ago. The increase primarily reflected the benefit of the gain from a litigation settlement, which was approximately $9 million net of costs. Excluding this settlement, the segments operating profit was approximately $30 million for the current quarter compared to $14 million excluding unusual items a year ago. The decline primarily resulted from lower sales. The Industrial segment reported sales of $26.5 million for the quarter ended December 31, 2014 compared to $21.5 million for the same quarter last year. The increase of $5 million or 23.2% primarily resulted from higher sales of warehouse control systems and increased unit volume of marking products and related inks. Operating profit for the Industrial Segment was $2.2 million for the current quarter compared to $1.1 million for the same period last year. The operating profit improvement resulted primarily from the benefit of the segments sales growth. Sales and operating profit by segment including non-GAAP adjustments for the quarter are posted on our Web site for your reference. Our fiscal 2015 first quarter consolidated operating margin was 7.4% of sales compared to 6.4% a year ago. On an adjusted basis our operating margin was 7.1% for the current quarter compared to 7.6% last year. The decline primarily reflected the impact of the incremental intangible amortization expense from the SGK acquisition. The company's consolidated adjusted EBITDA was $43.8 million or 12.7% of sales for the fiscal 2015 first quarter compared to $29.5 million or 12.8% of sales a year ago. A reconciliation of consolidated adjusted EBITDA is included in the quarterly financial data on our Web site for your reference. Gross margin for the quarter ended December 31, 2014 was 36.3% of sales compared to 35.4% a year ago primarily reflecting the SGK acquisition and higher sales in the SGK brand solutions segment. Selling and administrative expense for the current quarter was 28.8% of sales compared to 29% for the same quarter last year. The decreased percentage mainly reflected the net gain from the litigation settlement partially offset by the impact of the acquisition integration costs and incremental intangible amortization expense. Investment income for the 2015 first fiscal quarter was $271,000 compared to $874,000 a year ago. The year-over-year decline primarily reflected investment performance on assets held in trust for certain of the company's benefit plans. Interest expense for the current quarter was $5.3 million compared to $2.9 million for the same period last year. The increase resulted from additional borrowings in connection with the SGK acquisition. Other income deductions net for the fiscal 2015 first quarter represented a deduction of $435,000 compared to $665,000 a year ago. Other income and deductions generally include among other items banking related fees and the impact of currency gains or losses on certain intercompany debt. Net income from non-controlling interests for the current quarter resulted in additional income of $115,000 compared to $8000 a year ago. The amount for the current period primarily reflected the minority interest portion of losses generated by our European cremation operations. The company's effective income tax rate for the quarter ended December 31, 2014 was 26.1% of pretax income. The effective tax rate was 34.6% for the fiscal year ended September 30, 2014. The effective tax rate for the fiscal 2015 first quarter included the benefit of the utilization of certain tax attributes resulting from organizational restructuring during the quarter. Excluding this first quarter benefit, the company is currently estimating an effective tax rate for fiscal 2015 of 32%. The effective tax rate for fiscal 2014 reflected the unfavorable impact of non-deductible acquisition related costs. At December 31, 2014, the company's consolidated cash was $69.5 million compared to $75.6 million at September 30, 2014. Accounts receivable at the end of the current quarter totaled $268 million compared to $283 million at the end of fiscal 2014. Consolidated inventories at December 31, 2014 were $155 million compared to $153 million at September 30, 2014. Long-term debt at the end of the current quarter including both current and long-term portions approximated $720 million compared to $729 million at September 30, 2014. The decrease resulted primarily from the repayment of an additional $10 million on the company's domestic revolving credit facility. At December 31, 2014, $670 million of the outstanding debt balance represented borrowings under our domestic revolving credit facility at an average interest rate of around 2.5%. In July the borrowing capacity of this facility was increased to $900 million with the maturity of July 2018 to accommodate the SGK acquisition. Additionally, as we disclosed in our Annual Report, we received a claim from a customer for drawing a letter of credit in an amount approximately $30 million and accordingly payment was initiated on this claim. The company has assessed the customers claim to be without merit and as such pursuant to an action initiated by the company a court order has been issued requiring these funds to ultimately be deposited with the court until the matter is resolved. The company had approximately 33,000,000 shares outstanding at December 31, 2014. During the fiscal 2015 first quarter, the company purchased approximately 174,000 shares under its share repurchase program at a cost of approximately $8 million. At the end of the current quarter approximately 792,000 shares remained under the current share repurchase authorization. Depreciation and amortization expense for the quarter ended December 31, 2014 was $15.4 million compared to $9.3 million a year ago. The increase resulted primarily from the acquisition of SGK and related intangible amortization. Capital expenditures for the current quarter were $9.3 million compared to $4.6 million for the same period last year. The increase primarily resulted from the SGK acquisition expenditures [indiscernible] operations in Europe and purchases of casket delivery vehicles. With respect to the remainder of fiscal 2014, we will continue to devote a significant level of effort to the integration of SGK. As we previously discussed, with the size of this acquisition and the projected synergy opportunity we expect this effort to continue for an extended period of time. The cost associated with this ongoing effort will continue to impact our fiscal 2015 results, which we will identify on a quarterly basis as they are incurred. In addition certain economic factors are expected to impact our earnings for the remainder of the current fiscal year. These include the recent fluctuations in commodity costs such as copper and fuel and the unfavorable changes in foreign currency rates. Lastly, the Board last week declared a dividend of $0.13 per share on the company's common stock. The dividend is payable February 16, 2015 to stockholders of record February 2, 2015. This concludes the financial review and Joe will now comment on our operations.
Joe Bartolacci: Thank you, Steve. Good morning. Our results for the first quarter of 2015 were modestly better than we had expected. Each of our significant businesses met or exceeded our expectations. The addition of SGK for the full quarter has clearly had a positive impact on our overall results. While our European brand solutions businesses performed well despite currency translation challenges. Our automation business, which is part of our Industrial Segment formerly known as our marking and fulfillment business had a strong quarter with revenues up in most geographies and businesses. Specifically we had a strong performance from our pyramid control business which is our warehouse control business, which we expect to have a very strong year throughout 2015. As we have stated in the past this business is our bellwether for economic activity and we see each of our businesses in this segment improving in all economies in which they operate. Our Memorialization business had a good volume quarter and bronze markers and in granite, but we were challenged in our Italian bronze business and are mausoleum construction business. Similarly our U.S. cremation business had good results and continued to build a very strong backlog, but we had challenges in our European cremation group, which otherwise impacted a good quarter. All in all, we're pleased with the performance of our businesses this quarter. But we remain cautious for many reasons. Although our SGK integration is going well and is on track to achieve our desired synergies, this business is largely new to us as it relates to understanding the volatility of volume. In the end, our SGK brand solution business is the leading provider of packaging solutions to CPGs around the world and is highly dependent on the marketing spend and product innovation of the consumer products companies that we serve. Even if we do see improvement in most of our geographies, the warning signs of potential challenges are all around us. Also despite positive trends in commodity prices which should benefit the quarters to come, the strengthening dollar will pose currency translations to our consolidated results which do not reflect the operating performance of the underlying businesses. Given all of the above, we remain cautiously optimistic. We see a clear path in our integration goals with SGK and improvement in several of our other businesses. Therefore, we will continue targeting $3 per share of non-GAAP earnings for fiscal 2015. Let's open it up for questions at this point.
Operator: [Operator Instructions] We will begin with the line of Daniel Moore with CJS Securities. Please go ahead.
Daniel Moore: Good morning.
Steve Nicola: Hi, Dan.
Joe Bartolacci: Good morning, Dan.
Daniel Moore: Joe, you just to allude to us, but can you talk about the outlook for organic growth in the SGK brand solutions maybe breakout between North America and Europe for 2015. And what changes will we need to see in the macro environment before generating sustainably higher levels of demand?
Joe Bartolacci: As we've said in the past Dan, what we've done is, before acquiring SGK we retained some outside consulting help to kind of give us a picture of where we are. And the results of that study came back and suggested that marketing dollars and innovation of CPG companies have been depressed throughout this economic period. We need improvement in that and we are starting to see some of that. We're seeing it in Europe right now as our businesses over there picked up from a rather bit of a doldrums over there. I think we should expect volume to increase 1% to 2% on a long-term growth side that's what our expectations are. And we think our position in the market as a leader on a global basis should give us more than our fair share of opportunity.
Daniel Moore: And in North America?
Joe Bartolacci: North America that – was probably the segment of the business that did not perform where we wanted to be. We think that's going to come particularly with what's called the FLMA, which is a Federal Labeling Act which starts here in another year or so. Every product on the grocer shelf will have to be relabeled, if it's a food product. So we are expecting that to be a significant driver for a period of time. I think the effective date of the FLMA is 2017 right now that can get pushed, but at the same time right now we're expecting 2015 and to start to see that 2016 to be strong and 2017 to be strong.
Daniel Moore: Very helpful. And maybe just shifting gears quickly to the integration at the end of – I think fiscal 2014 you have identified $37 million of the projected cost synergies. What run rate that we added at the end of fiscal Q1, has the $37 million changed and maybe just any detail you can provide in terms of the buckets of those would be very helpful.
Joe Bartolacci: We're still holding firm at that $37 million maybe a little more that we see out there. And we're early in the process. Steve, I don't know the exact amount we able to recognize this quarter maybe you can comment on that but we are early into it. I would tell you that the buckets of where you are going to see change over the next several years will be predominantly in the G&A section of the P&L. When you see the – our combined G&A spend, we think there's a significant opportunity to benefit all of our businesses, you are not going to see that only on SGK or the brand solutions portion of our business because G&A is a common element for all of us. And so we expect margins to improve and all of our businesses reintegrate into one solution. Steve maybe you can comment on where we are right now. We are not in the same room, so Steve maybe you can comment on where we stand on the integration at this point in time for a dollar standpoint?
Steve Nicola: Right. We did realize some of the benefit here in the first quarter and we expect as the year goes on. We'll start – we will see that increasing progressively. That's correct. We continued to affirm that we are in that range that $37 million, Joe you're right, we are a little higher than that in terms of where we are projecting right now. But, I think the word of caution here is that as we go through the ERP implementation, which is the basis for a lot of this synergy that's really when we start to realize the full value.
Daniel Moore: But still the lion share and sort of that Q3 timeframe?
Joe Bartolacci: Yes. The key to that is as Steve said as we are going to get an ERP implementation, but it is not a new implementation in a sense, but we are putting them on as our SAP system allowing us to integrate a lot of the back office functions, SGK has separate right now.
Daniel Moore: Thanks. I will get back in queue.
Operator: And next we will go to the line of Jamie Clement with Macquarie. Please go ahead.
Jamie Clement: Good morning, Joe. Good morning, Steve 
Joe Bartolacci: Hi, Jamie.
Steve Nicola: Good morning, Jamie.
Jamie Clement: Joe first question into the Cemetery Products business going back two years obviously there was some challenges and obviously some costs associated with the software system implementation. Are you now at the point in fiscal 2015 were you're actually starting to realize benefits from that and is there potentially a margin improvement in that product line that we might see this year over where you been over the last couple of years?
Joe Bartolacci: Well, clearly you are going to see a margin improvement in that segment for several reasons. One is we are beyond the SAP integration, so we are starting to improve on our operations today. I know the team may be listening on the phone, but we are operating today at efficiency levels we've not seen in a long time. But more important from a customer service level, we're delivering product faster than we ever have and more accurately than we ever have. That's the true benefit that will benefit the company for years to come. Secondly, I think the real opportunity comes with the commodity price itself. As you heard my comments [indiscernible] fully aware copper continues to run in operating levels – at levels that are lower than prior year. So as usual we have bought out, so we are going to see some of that improvement drop through in the quarters to come. However, that's just for that segment. We now have a significant portion of our business that is international and that is going to be impacted by currency translation that's going to eat up a lot of that unfortunately.
Jamie Clement: Fair enough. And Steve just I think – I was looking at the financial data page that you put up on your Web site this morning. When you go for me, the segment results chart to the unusual items and then the reconciliation of non-GAAP EBITDA is, so presumably the litigation gain is an unusual item that you're backing out in the second chart. Are you all calling intangible amortization and unusual adjustment, or do we not see that until we get to kind of table numbers three of the reconciliation of GAAP to non-GAAP EBITDA?
Steve Nicola: You don't see that till you get to the reconciliation of GAAP to non-GAAP. We're not calling intangible amortization is an unusual item, but for purposes of trying to present a non-GAAP adjusted cash basis if you will earnings per share that certainly is an add-back.
Jamie Clement: Okay, great. Joe, last question, you mentioned the FLMA, I think there was some speculation in the marketplace that calendar 2015 might actually be a relatively slow year, so far I mean at least in the December quarter looks as if things are actually holding up pretty well.
Joe Bartolacci: Yes. I would tell you Jamie, we don't expect it to be significantly slower than the SGK we have seen for last several years.
Jamie Clement: Okay.
Joe Bartolacci: So obviously on a year-over-year basis we would love to see growth, right, we expected some CPGs are holding back on innovation because they have to do repackaging on everything. But I think we will probably see that pickup towards the end of the year as clarity comes out as to the timing on FLMA.
Jamie Clement: Okay. I mean it sounds like out of the marketplace when we rewind about three months, I don't know like there was a distinct possibility we could actually see volumes down a couple percent this year because of timing issues and stuff like that but maybe it doesn't sound like in that case maybe we are looking at throughout this year, I mean any comments?
Joe Bartolacci: I would say flat to plus a couple or minus a couple of points.
Jamie Clement: Got it. Yes.
Joe Bartolacci: We are not projecting big number changes.
Jamie Clement: Yes. I just thought there was maybe a risk we could be down slightly, but it doesn't seem like it. Okay. That's terrific. Thank you very much.
Joe Bartolacci: It's early.
Jamie Clement: Yes, absolutely. Thank you very much though.
Operator: All right. Next we will go to the line of Liam Burke with Wunderlich Securities. Please go ahead.
Liam Burke: Thank you. Good morning, Joe. Good morning Steve 
Joe Bartolacci: Good morning, Liam.
Steve Nicola: Good morning, Liam.
Liam Burke: Joe, you mentioned fulfillment; the margins were nicely up year-over-year on the industrial side. How is the pipeline for contracts on the fulfillment on some of these potential solutions that you talked about?
Joe Bartolacci: Well, I mean you heard my comment referencing we're expecting a good year. That reflects the backlog that we have right now. I would say to you our backlog is strong, however, the contracts we don't lose contracts, they can't get deferred as they have in the past. So as we look out to the year-to-date, we tell you we should have a strong year. But it's historically, one or two of that get pushed out that moves into another quarter moves into another fiscal year and that could be the impact. Today we're feeling good about the year. 
Liam Burke: Are you looking at acquiring, I mean do you see any new customers in the horizon or in the mix here?
Joe Bartolacci: Oh, yes. We have landed a couple now that we will talk about. But, we think we've got a very, very strong offering right now and it will continue to add bits and pieces to the puzzle over the next year or two. As we continue to add those pieces to the puzzle, I think we only get stronger.
Liam Burke: Thank you. Steve, if I adjusted for the – on the Memorialization side, if I adjusted for the one-time, it looked like margins were down on an adjusted basis. If you had up year-over-year revenue both the bronze memorial and the casket side of the business, was there anything in there that would be a setback in terms of profitability?
Steve Nicola: Yes. Two things in there. One, we are actually, both of them at that – Joe had mentioned earlier the larger of the two would be the European cremation equipment side, those impacted margins for the quarter as those equipment sales that equipment volume was off. And then also mausoleum sales in the first quarter were off compared to a year ago. And then we did have some memorial sales off in our Italian – our European bronze operation.
Liam Burke: Okay. But mausoleum sales and cremation systems that profitable or were they that profitable a year ago?
Steve Nicola: Well, I would tell you mausoleum sales generally have lower margins and the overall the cremation equipment generally have lower margins, but just that the mix of how that played out this quarter resulted in an overall lower margin.
Liam Burke: Okay. Thank you.
Operator: All right. Next we will go to the line of Scott Blumenthal with Emerald Advisers. Please go ahead.
Scott Blumenthal: Good morning gentlemen.
Joe Bartolacci: Hi, Scott.
Steve Nicola: Good morning, Scott.
Scott Blumenthal: Joe, can you talk about the European growth in brand solutions and may be if you're expecting or you might see any impact from the whole Russia Ukraine situation?
Joe Bartolacci: Our European business – if you know the FLMA in the United States, Europe passed that similar type of regulation a little while ago and we're starting to see some of that benefit over there right now. But more importantly, some of our customers particularly in the tobacco industry are accelerating on some of the picture packs they were doing and coming out with new product innovation, some things that some of our customers aren't coming out with new product completely. We could talk about the wafer products we are seeing the United States. We are seeing some of that grow in Europe and that's becoming another product line for us to be able to create packaging for. As it relates to Russia and Ukraine, it's not impacting us directly from the standpoint of any volume because in the Ukraine is a small part of our business although contribute both the Ukraine and Russia. The challenge for us is that the – if Russia the largest tobacco market in Europe today or what I would call the continent is Russia. I believe Philip Morris has their largest factory outside of Moscow. We have obligated ourselves with great desire to put a facility to support the tobacco industry in Russia and we are cautiously moving forward. That was part of our anticipated growth over the next year or two as we get that business up and running. We are slow in getting there and I can't tell you what our government may do to that may impact those results, but that's where we see the challenges with Ukraine and Russia today.
Scott Blumenthal: Okay. Wasn't there a – didn't one of the European companies – countries pass a law to make cigarette packaging generic or was there some discussion?
Joe Bartolacci: The U.K. is currently considering what they call black and white labeling and that is still has not passed they are considering it. We will see whether that gets done. We know the tobacco industry will fight in courts and we will see whether that gets passed or not. So that will be one of the challenges going forward as people consider whether or not that's been successful if you read any of the reports coming out of Australia there's a great deal of debate as to whether it's been effective where in Australia today and where they have gone to black and white packaging.
Scott Blumenthal: Okay. And can you may be remind us as to how much of your European packaging business is would be exposed to such a thing, would that to hit the U.K.?
Joe Bartolacci: If it hit the U.K. it would not be – if they only hit the U.K. would not be significant obviously it's been spread across the European continent, we would a challenge.
Scott Blumenthal: Sure. And Joe, Ink is a meaningful business at Matthews, do you expect there to be a material change in the cost basis of some of your Ink products due to the decrease in oil prices?
Joe Bartolacci: I know some of the team is listening in. We've had a discussion internally about how we get to our suppliers. Some of the key components are not made in the United States, so we are looking at those suppliers of components related to the ink – to the elements that we use for ink and see whether we can reduce that cost. We've not seen it yet though Scott. We expected over time, we will give some of that benefit. We're also seeing some of that benefit that we think over time in our photopolymer that we use for – even for graphics business, our brand solutions business and so over time that will pass through.
Scott Blumenthal: That's helpful, Joe. Thank you. And Steve, could you remind us as to what you are currently using for your – for the year for your projected dollar-euro exchange rate and if you have updated that at all recently?
Steve Nicola: Right now we were originally projecting the euro rate as you know last year it was about $1.35 for purposes of the projections that we provided it was earlier in the year. It was closer to that range as we look to – as Joe mentions the target for this year we have certainly pulled that back a little bit.
Scott Blumenthal: I mean great, thank you.
Operator: [Operator Instructions] Next we will go to the line of Jason Rodgers with Great Lakes Review. Please go ahead.
Jason Rodgers: Good morning.
Joe Bartolacci: Good morning, Jason.
Jason Rodgers: You mentioned opportunities in Europe with similar laws passing to the upcoming FLMA in this country, I wonder if you could expand on that and if you think that opportunity is as large as that is potentially in this country?
Joe Bartolacci: It probably is as large over a period of time. I believe their implementation timing is a lot longer than it is in the United States. So we should see an up tick across the businesses for a while, but I don't think are going to see the rush that we will see in the United States given what is currently estimated to be about a 2017 implementation date. So the U.S. clearly has more consumer products on the shelves in the grocery stores than we do around most of the European continent at least as it relates to the CPGs that we do work for. But it should be an up tick for both businesses for a period of time.
Jason Rodgers: Thank you.
Operator: All right. And there are no further questions.
Joe Bartolacci: All right. Thank you, Linda. We'd like to thank all participants in the call this morning and we look forward to our call after our second quarter earnings release in April. Thank you and have a great day.